Operator: Good morning, ladies and gentlemen, and welcome to the STEP Energy Services Q1 2025 Conference Call and Webcast. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Thursday May 15, 2025. I would now like to turn the conference over to Steve Glanville, President and CEO of STEP Energy Services. Please go ahead.
Steve Glanville: Thank you and good morning. Welcome to our Q1 2025 conference call. We're glad you could join us to hear about the first quarter of 2025 and our outlook for the year. First, I'd like to invite Klaas Deemter, our CFO, to provide an overview of our financial results for Q1, and then I'll provide some comments on operating conditions in the first quarter and what we're seeing as we move through 2025. Then we'll open it up for questions. Klaas?
Klaas Deemter: Thanks, Steve, and good morning, everyone. My comments today will include forward-looking statements, regarding STEP's future results and prospects. Please note that these forward-looking statements are subject to a number of known and unknown risks and uncertainties that could cause our results to differ materially from our expectations. For more information on the forward-looking statements and these risk factors, please refer to our SEDAR filings for this quarter, as well as our 2024 AIF. Finally, please note that all numbers are in Canadian dollars unless noted otherwise, and I won't round when possible. Listeners should also note that during the first quarter, STEP made a decision to terminate its U.S. fracturing division, which resulted in an internal leadership reorganization and the decision to aggregate into one operating segment. Going forward, the information provided will be on one reporting segment as all remaining divisions have similar characteristics. The U.S. fracturing division termination did not meet the test for discontinued operations as some of the related assets are being transferred to Canada. To provide clarity on the ongoing business operations, we will refer to these results as terminated operations and have provided additional disclosure in our Q1 financial statements and MD&A related to these operations. STEP's Q1 consolidated revenues increased to CAD308 million from the prior quarter revenue of CAD148 million. Q1 is typically when client capital budgets reset, so it is our strongest quarter, while Q4 is typically our weakest quarter, as client budgets wind down. The contrast between quarters was particularly start this year, given the slowdown induced, the quantity price induced slowdown that we experienced in 2024. Q1 total revenue included CAD14 million in revenues related to the terminated U.S. operations, compared to the CAD3 million included in the prior quarter. Prior year Q1 revenues were CAD320 million, which also included CAD38 million of revenues related to terminated operations. STEP has expanded the definition of adjusted EBITDA to exclude the results from terminated operations to provide clarity on the company's normal course business activities. Therefore, please note that adjusted EBITDA from previous periods has also been updated to comply with this definition. Adjusted EBITDA for the first quarter came in at CAD59 million or a 19% margin, compared with CAD8 million or a 5% margin in the prior quarter and CAD71 million or 22% margin in Q1 of the prior year. STEP had net income of CAD24 million or CAD0.33 per diluted share in Q1 of this year, compared to a loss of CAD45 million or negative CAD0.62 per diluted share in the prior quarter, which included an impairment of CAD24 million, related to our terminated U.S. operations. Included in the Q1 net income was a net loss from terminated operations of CAD4 million, compared to a CAD32 million net loss from terminated operations in the prior quarter, again, which included the impairment. Prior year Q1 earnings were CAD41 million or CAD0.55 per diluted share, which included CAD1 million of net income from terminated operations. During the quarter, we had free cash flow of CAD32 million, compared to CAD17 million negative free cash flow in the prior quarter and free cash flow of CAD53 million in Q1 of last year. In the quarter, we spent CAD17 million on capital expenditures. This was made up of CAD8 million for sustaining capital, CAD8 million for optimization capital and CAD1 million for right-of-use asset additions. CAD1.9 million of the CAD17 million was spent on equipment related to the terminated U.S. operations to complete the remaining Q1 work scope that the company was committed to. In conjunction with the terminated operations of the U.S. fracturing CGU, the company has a plan to sell a group of assets by the end of 2025. The company has CAD17.4 million of assets held for sale listed on the balance sheet at the end of the quarter, which includes both inventory and equipment. We also purchased 617,000 shares during the first quarter under our NCIB and subsequent to the quarter, we purchased an additional 177,000 shares. We see deep value in our shares and will continue to use free cash flow to purchase opportunistically under our buyback program. Finally, STEP ended the quarter with net debt of CAD85 million, which was up from approximately CAD53 million in the prior quarter. The swing between Q4 and Q1 is driven by the slowdown in activity in Q4 and the ramp up in Q1, which results in a large working capital build and draws on our bank line. We saw a CAD68.2 million increase in working capital, since the prior quarter, which is impacted by the higher than expected client receipts. Again, at the close of Q4 and lower than expected receipts at the close of Q1. I'll now turn it back to Steve for his comments on operations and outlook.
Steve Glanville: Thank you, Klaas. By now, you would have had the opportunity to look at our most recent results and read through our operational highlights. I won't reiterate what is included in our MD&A, but I will speak about a few key operational achievements in Q1 and provide our outlook for the rest of the year. Our North American close to being operations posted excellent results, running 22 units throughout the quarter. Long-term contracts with key clients in the Montney and Duvernay, as well as relationships with blue chip clients in the Bakken, Permian and Eagle Ford basins are an important part of our success. We continue to see an expansion of the CoilPlus extended reach lateral mill outs, where we completed the first 2-5/8 coiled-tubing job in the Rockies and the first three mile clean out using 2-5/8 in the DJ Basin. This service line is a differentiator for our company, as it allows clients to contemplate longer drilling programs to access more rock volume with the confidence that they will be able to reach total depth during their mill operations. Utilization for our fracturing services business remained extremely high with crews achieving near record levels. We ran seven frac crews in the quarter, which included one from our now terminated U.S. fracturing operations. We pumped an incredible amount of sand for the quarter, which was 787,000 metric tons, and we broke our previous record in Canada, which is 631,000 tons for the quarter. For context, it's just over 15,000 truckloads of sand, with one unloading every 8 minutes around the clock for 90 days straight. STEP handles the majority of our client sand, hauling just over 60% of the sand we pumped in Q1. This is a core differentiator that consistently delivers strong margins because we do it exceptionally well. We have built a top tier team and a reliable fleet that takes logistical burden off of our clients' shoulders. I also want to highlight our capital investment in next generation technologies as part of our long-term diesel reduction strategy. Just in Q1, through our collaboration with a major OEM, we introduced Canada's first 100% natural gas reciprocating engine designed for fully natural gas-powered fracturing operations. We call it the NGx and it is purpose built, which has 3,600 horsepower internal combustion engine integrated with proprietary systems and an advanced automation platform. This engine delivers twice the pumping capacity of a conventional pump and operates seamlessly alongside of our Tier 2 and Tier 4 dual fuel assets. This allows for hybrid completions today and positions us for a full natural gas operation, as we continue to expand capacity. Although, we only have one of these NGx pumps so far in the field, we have seen diesel displacement rates of up to 90% during initial field trials, which is a game changer in our space. In addition, we are deploying electric-driven backside equipment, including a blender hydration unit, sand handling equipment and a chemical add up unit, and we're planning to trial a 100% natural gas-powered tractor for our logistics team. These innovations strengthens our ability to deliver reliable, cost-effective solutions, while aligning with our clients' evolving business priorities. The current energy landscape is fraught with challenges that have contributed to significant instability. Geopolitical tensions, particularly those related to global trade, continue to shape our industry outlook. The retaliatory tariffs recently implemented by the Canadian government are an immediate concern, as these measures will place additional pressure on operating costs. In response, we have engaged with several industry associations and collaborated with peers to submit remission applications. While we do not expect to see the positive outcome of these efforts for several months, we are working closely with our clients to help manage the impact on margins. Commodity pricing has fluctuated over the quarter. That said, natural gas prices have demonstrated a consistent upward trend over the past few years. In the WCSB, approximately 75% of our programs are comprised of natural gas and liquids rich wells. Additionally, the anticipated launch of LNG Canada's first shipment in June of this year will continue to support capital activity in the region. We have not seen a significant contradiction or contraction, sorry, in client spending to date, although we do anticipate a potential slowdown in oil directed activity, if prices fall and remain below the CAD60 per barrel mark. Looking ahead to Q2, we anticipate the typical seasonal breakup conditions in our northern regions, before seeing momentum build in the later part of the quarter and into Q3. The activity levels for both business lines are expected to be comparable to those in the same period in 2024. Our third quarter schedule is filling in nicely with fracturing clients largely maintaining their previously disclosed programs. Coiled-tubing is more dependent on call at work and as a result is more difficult to project. However, we are engaged with many of our leading producers in the basins that we operate in and expect to see good utilization throughout the quarter. We remain cautiously optimistic about the fourth quarter, while carefully managing expectations. We will provide an update on Q4 when we release our Q2 results in August. But today, our view is that the disruption caused by the geopolitical events, this year has created more uncertainty than usual, which continues to impact commodity prices. We are seeing positive momentum in the natural gas market, given the structural changes happening on the demand side, but weakness in oil prices may limit the upside potential as we move into the fourth quarter. We are working to fill the remaining white space in the second half of the year and are actively engaged with our clients to manage the impact of commodity prices and tariffs, demonstrating to them that STEP is a trusted partner through all phases of the cycle. Before I turn the call back to the operator, I want to close by expressing how proud I am of what we accomplished during an exceptional busy period. Our professionals rose to the challenge, delivering exceptional client experience and strong results for our shareholders. Our team's focus on safety, operating efficiencies and excellence made Q1 another very successful quarter. Operator, we are pleased to take any questions.
Operator: Thank you. Ladies and gentlemen, we'll now begin the question-and-answer session. [Operator Instructions] The first question comes from Waqar Syed at ATB Capital Markets. Please go ahead.
Waqar Syed: Thank you for taking my question. Steve, would you please remind us how many Tier 4 fleets do you have in Canada now?
Steve Glanville: Yes. Good morning, Waqar. We're running about 2.5 fleets in Canada right now. Of course, we had mentioned that we're moving some assets into Canada from our U.S. terminated operation and that will bring in basically another fleet, when we see time to deploy that into the field.
Waqar Syed: So, once the U.S. fleet comes in, you'll be at 3.5 fleets, Tier 4?
Steve Glanville: That's correct. Yes.
Klaas Deemter: I think -- Waqar, it's Klaas. It also depends a bit on how you define the size of the fleet, depending on which basin they're working in, Deep Basin versus Montney versus Duvernay, that'll affect the size of the fleet as well. So, as those, as that equipment moves around, three fleets could turn into four fleets.
Waqar Syed: Okay. Fair enough. And so, once you have this extra fleet, would your number of active fleets in Canada go from six to seven or would it stay at six?
Steve Glanville: Yes. Look, our current plan is to stay at six, until we see a bit better commodity price cycle. We think there's opportunity, of course, with LNG Canada kicking off here in a month's time, plus some additional LNG opportunities. But we're not going to throw it to the field, until we see pricing that's stable.
Waqar Syed: Okay. Fair enough. And so, you have your NGx pump. What is kind of the long-term plan? Do you have like a continued upgrading plant that like next year, you may have an extra fleet of NGx or what's the long-term thinking there?
Steve Glanville: Yes, I mean early stages with the trial, we're pretty happy of how it's performed so far. Like we mentioned, we've been able to have it in the field. So, a number of clients are excited to try it out. I think what the long-term view for us is as older equipment, we need to retire that. The question is, do you upgrade it to Tier 4? Do you put this new technology into the field, which we think is a big game changer? And so, that's something that the team is working through right now. But what I can tell you is the cost per horsepower of this unit, compared to anything else that we've seen, it's basically, it's more, it's less cost or cheaper per horsepower. And so, that's what we like about it. It replaces basically two units for one. And so, we're excited to see how that performs.
Waqar Syed: Now, when you say cheaper per horsepower, does that mean CapEx per horsepower for newbuild or and OpEx as well? Would you maybe clarify that a little bit?
Steve Glanville: Yes. No, it's CapEx for right now, but I do believe that we're going to see some savings. You see that typically, as you get new equipment in the field, your R&M is a lot cheaper. And I think it comes down to is, you're basically using one pump versus two. So, at the end of the day, you will have less R&M with it.
Waqar Syed: Okay. Great. Now, you mentioned about potential slowdown in oil related activity, based on oil prices. Are you, have you seen any indication with in customer discussions, where they're saying that they would like to reduce activity or not yet?
Steve Glanville: I would break it down into like the two regions that we operate Canada and the U.S. I think you're seeing a bit more pressure in the U.S. than we are seeing in Canada. The Canadian business we operate, 75% to 80% of our clients are in the natural gas liquid rich field. So, we haven't seen any type of reduction in CapEx yet, but if oil prices kind of hover in that, kind of below 60%, kind of mid-50s, you should expect to see some CapEx reduction. What's different about Canada, particularly the Duvernay, where we've seen quite a bit of activity in Q1 and we're seeing it continue on through Q2 is, they're not subject to the tariffs because most of that condensate goes to the oil sands. So, it's, I think you got to look at it that way as well, Waqar.
Waqar Syed: Yes. That makes sense.
Steve Glanville: And what I would say is, in our, in the oil affected regions, Waqar, we work for a lot of the larger blue chip clients. So, as we look through the Q1 releases, we haven't really seen that, that much for as far as CapEx reductions go, maybe 1% or 2%, but haven't really seen any significant CapEx reductions in the clients we work with.
Waqar Syed: Is that comment also for the U.S. market for coiled-tubing or it's just Canadian, Canada specific?
Steve Glanville: Both.
Klaas Deemter: Yes, for both. Yes.
Waqar Syed: Okay. Great. Well, thank you very much. Appreciate the color.
Steve Glanville: Thank you, Waqar.
Operator: Thank you. The next question comes from John Daniel at Daniel Energy Partners. Please go ahead.
John Daniel : Thank you. Good morning, guys. Steve, if you guys decided to push the accelerator and bring on more of the new pump design, what's the sort of cadence, the manufacturing cadence from, would they, how many could you get this year if you wanted to?
Steve Glanville: Yes, John, it's I don't know if we've identified exactly how many we can get it. We're going through this prototype phase. We don't want to hurry up and kind of push the accelerator until we're really happy with the design. And so far, it's turned out pretty good. I think we would let us trial it for a little bit, before we, before we can commit to anything on the call on this, but we are pretty excited about the ability to expand that business or that technology.
John Daniel : And I know you guys have had a positive experience at the pump. What is your customer telling you? And do you get the sense that those customers would embrace some sort of contractual arrangement for you guys to build one of those fleets?
Steve Glanville: Yes. So far, John, the feedback from our clients has been exceptional. We've only had it up for a few clients. The challenge I think and this will be, get fixed with us supplying enough natural gas to the job sites. So, today, most of our operators that are in the Montney and Duvernay do have field gas available. But as you could imagine, you're going to be needing a bit higher pressure or larger lines to be able to supply the fleet. So, that's why, when we think about what's the most ideal fleet in Canada, it has a combination of, call it, Tier 4 that you have some diesel available to you, but majority of it would be these NGx pumps, which is 100% natural gas.
John Daniel : Okay. All right. That's all I got. Thank you for including me.
Steve Glanville: Thanks, John.
Operator: Thank you. [Operator Instructions] Next question from John Gibson at BMO Capital Markets. Please go ahead.
John Gibson : Good morning, all. Thanks for taking my questions. First on the balance sheet and capital allocation, I mean, that came up a little bit. I think that was mostly working capital related. Just wondering where you're going to direct the majority of free cash flow this year? Is it further debt repayment or could you look to maybe ramp the buyback a bit more?
Steve Glanville: It will be further debt repayment, John. That's always been our primary focus.
John Gibson : Okay. Great. And then, just on pricing, how much is it down year-over-year in Canada? And do you see any sort of green shoots for the remainder of the year? Is it sort of to be determined right now?
Steve Glanville: Yes, I can say that the, like the coiled-tubing prices does kind of held in line year-over-year. John, in Canada, I think the U.S., we're seeing a bit of pricing, kind of pressure in our U.S. coiled-tubing business, but not, we're talking maybe 5%, but nothing too crazy. I think on the frac side, what we see is Q1 was extremely busy for all of our pressure pumping peers. And so, I think you saw Q1 kind of holding in there from pricing. But as we enter into kind of Q2, Q3, there are some RFPs that we're participating in, and I would say, pricing is down kind of couple 3%, 4%. What's, I think for us, it's lower than we'd like. The challenge, I think, that all of us are going to face is just the rising costs of these tariffs. And I'm not just talking proppant and coiled-tubing, talking all of the materials, parts and et cetera. It's going to show up in our business. So, got to be very careful on how you price these things today because we want to make sure that we are profitable going forward.
John Gibson: Okay. Great. And then, last one for me. You've got some assets held for sale on the balance sheet. Wondering if that's a good price to think about or is, where we stand now like, the likely scenario that you move that equipment back into Canada or at least keep it?
Steve Glanville: Yes. We're going through that discovery process right now, John. We did impair the assets at the end of Q4 and we also did some in Q3 there. So, we're comfortable with the value today. It's a blend of inventory and equipment. So, some of that inventory that, the plan is we'll bundle that with the equipment. Some of that could come north as well to support Canadian operations, if we don't, if we're not successful in bundling it. So, that's still a little bit TBD at this time, but I think we're comfortable with the value as it stands today.
John Gibson: Okay. Great. Thanks a lot, guys. I'll turn it back.
Steve Glanville: Thanks, John.
Operator: Thank you. We have no further questions. I'll turn the call back over to Steve Glanville for closing comments.
Steve Glanville: Yes. Thank you, everyone, for joining our Q1 2025 conference call. We'll now conclude it and look forward to having our conference call in August for Q2. Thank you very much, everyone.
Operator: Ladies and gentlemen, this concludes our conference call for today. We thank you for participating and we ask that you please disconnect your lines.